Operator: Good morning. My name is Sylvie, and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the BTB Real Estate Investment Trust 2025 Third Quarter Results Conference Call for which management will discuss the quarter ended September 30, 2025. [Operator Instructions] Should you wish to follow the presentation in greater detail, management has made a presentation available on BTB's website at www.btbreit.com/investors/presentations/quarterly meeting presentation. [Operator Instructions] Before turning the meeting over to management, please be advised that some of the statements that may be made during this call may be forward-looking in nature. Such statements involve numerous factors and assumptions and are subject to inherent risks and uncertainties, both general and specific, which gives rise to the possibility that predictions, forecasts, projections and other forward-looking statements will not be achieved. Several important factors could cause BTB Real Estate Investment Trust's actual results to differ materially from the expectations expressed or implied by such forward-looking statements. The risks, uncertainties and other factors that could influence actual results are described in BTB Real Estate Investment Trust's Management Discussion and Analysis and its annual information form, which were filed on SEDAR+ and on BTB's website at www.btbreit.com/investor/reports. I would like to remind everyone that this conference is being recorded. Thank you. I will now turn the conference over to Michel Leonard, President and Chief Executive Officer, accompanied today by Mr. Marc-Andre Lefebvre, Vice President and Chief Financial Officer; Mr. Charles Dorais Bédard, Vice President of Finance; and Ms. Stephanie Leonard, Senior Director of Leasing. Mr. Leonard, you may begin the conference.
Michel Léonard: Thank you very much, Sylvie, and welcome to all that have joined us in the call for our results of the Q3 2025. So as far as the highlights are concerned, we sit at 6 million square feet in the portfolio, we concluded lease renewals and new leases during the quarter for 280,000 square feet. The fair value of our investment properties stood at $1.2 billion, and the occupancy rate is at 91.5%. As far as the way that our -- the weight of our real estate portfolio, we sit with the suburban office properties at 41%, industrial properties at 36% and necessity-based retail at 23%. As far as the geographical diversification, there's been generally no change in the holding of our portfolio. As far as the quarter at a glance, we are still actively involved in zoning changes to create density on 2 sites by adding residential units in Montreal and in Ottawa. We've disposed of one property located in Quebec City on Leonard Boulevard for proceeds of $10.5 million, and this property was a little bit more than 100,000 square feet of office space, hence, the reduction from 6.1 million square feet reported in the last quarter to 6 million square feet in this quarter. After the quarter, we disposed a small retail property located in Terrebonne and the total proceeds received prior to transaction costs and adjustments were $3.1 million. With this, I will turn to Stephanie to go through in more details regarding the leasing and renewal activity.
Stephanie Leonard: Good morning. So for those of you that are following us on our online presentation, just to note that we are currently at Slide 7. So our total leasing activity, which is the combination of new leases and lease renewals, totaled 280,000 -- round up to 281,000 square feet for the quarter, of which 129,000 square feet were new lease transactions and 152,000 square feet belong to lease renewals, again, just rounding up. Our total leasing transaction volume for the year stands at just 519,000 square feet. Our most noteworthy transaction for the quarter was signed with Kraft-Heinz Company, representing 80,000 square feet in our industrial segment located in Montreal, which was committed as of the third quarter, but was recorded in place as of October 1, therefore, the fourth quarter. This also explains the difference between our committed and our in-place occupancy rates for the quarter. Our second-most important transaction for the quarter was a 10-year lease that we signed with SFL Gestion de Patrimoine or Wealth Management in English, representing 7,420 square feet in Trois-Rivières, Quebec, again, in our suburban office segment. The remaining new transactions representing roughly 41,000 square feet were also mainly concluded in our suburban office segment and specifically concentrated in our Quebec City portfolio. Our transaction -- our new transactions with Kraft and SFL provide a good segue into our lease renewal rates for the quarter as both of these new leases constituted departing tenant replacement, therefore, impacted our lease renewal rates. So the previous tenant that occupied Kraft space, their lease came to maturity on September 30. We replaced them with Kraft on October 1, therefore, creating no downtime between tenancies. However, as there was a change in tenancy, we had to record this departure as a nonrenewal, therefore, affecting our lease renewal rate by 36%, and this is just for the Kraft transaction. The same explanation is applied to the case of SFL. And both these transactions impacted our lease renewal rate but did not impact our occupancy rate. In terms of a comparison, should -- because we reduced our lease renewal rate by 36%, our comparable lease renewal rates for the quarter and for the 9-month period would have been comparable to the previous 9-month period -- would have been -- would have been comparable to 2024 -- Q3 2024 and 2024 lease renewal rates at this point of time. In terms of our important lease renewals concluded for Q3, we signed a 26,000 square feet 5-year renewal with the government of Quebec in our suburban office segment in Montreal, 18,000 square feet with a 10-year term with Shoppers Drug Mart in our necessity-based retail segment located in Dollard-Des Ormeaux, 12,000 square feet renewed with Analog Devices in our suburban office segment in Ottawa. In terms of our early lease renewals, so lease renewals that we conclude with tenants whose leases come to maturity in 2026 and thereafter, therefore, not in the current year, which reduces our future maturities total roughly 61,000 square feet. And our most noteworthy transaction in this segment belongs to Hewlett Packard for 29,000 square feet in our suburban office segment located in Montreal. In terms of our rental spreads for the quarter, we achieved a 14.5% increase in our renewal rate, which is our highest spread for the third quarter in comparison to 2022, 2023 and 2024. We achieved rental spreads of 15.4% for the quarter in our suburban office segment and 8.3% in our necessity-based retail segment. Our 9-month period rental spreads also continued to outshine our performance in 2023 and 2022 standing at 11.3% for our portfolio. Our committed occupancy rate at the end of the second quarter stood at 91.5%, a 30 basis point increase compared to Q2 2025. So as you all know, we're still showing the effects of our 132,000 industrial vacancy at our property located at 3695 des Laurentides in Laval, impacting our occupancy rate by 221 basis points. We are currently negotiating an offer to lease with a AAA tenant for the entire property. We have signed a nondisclosure agreement. So at this time, I cannot share any additional information as to whom the tenant is, net rents or any incentives. However, I can say that the net rents are within our expectations, and it is our hope to be able to share news in the upcoming weeks about this tenancy. So on this note, I'd like to turn the presentation over to Marc-Andre for a financial review.
Marc-Andre Lefebvre: Thank you, Stephanie, and good morning, everyone. The financial results for the third quarter once again reflect the resilience of our business. For the 3-month period ending September 30, 2025, rental revenue stood at $32.9 million. That's an increase of 1.1% compared to the same quarter last year. NOI and cash NOI both increased by 5.9% and 4.2%, respectively, again, compared to the same quarter last year. The increase in cash NOI is related to several factors, including: number one, a payment of $1.1 million triggered by a lease cancellation notice from an industrial tenant with a planned departure date at the end of Q1 2026. Second, higher rent renewal rates third, increases in rental spreads for in-place leases. On the negative side, cash NOI was impacted by the previously reported departure of an industrial tenant last quarter, that's Big Rig Trailers; and second, the impact of the short-term lease negotiated with the group who purchased Lion Electric. Cash same property NOI increased by 4.2% for the quarter compared to the same period last year. This is a good performance considering the departures we had in the industrial segment. Now looking at FFO adjusted per unit. So we ended the quarter at $0.115. That's an increase of 7.5% from the same quarter last year. AFFO adjusted per unit was $0.101 for the quarter, an increase of 4.1% from the same quarter last year. This increase is mainly explained by a $0.8 million increase in cash NOI. Second, a $0.5 million increase in admin expenses; and third, a $0.2 million decrease in net financial expenses before fair value adjustments. We maintain our distribution to unitholders at $0.075 per unit for the quarter, which represents an annual distribution of $0.30 per unit. The AFFO adjusted payout ratio was 74.3% for the quarter. That's an improvement from 77.2% for the same period last year. The value of our investment properties remained stable at $1.2 billion at the end of Q3. This quarter, we externally appraised 48% of our properties, and that's based on fair market value. The exercise resulted in a gain of $2 million. The weighted average cap rate for the entire portfolio remained stable at 6.7% compared to year-end 2024. As Michel previously mentioned, we had a disposition during the quarter. So we sold a property in Quebec City located at 1170 Lebourgneuf Boulevard, and it resulted in gross proceeds of $10.5 million. After quarter end, so subsequent to quarter end, we disposed of our 50% interest in a small noncore retail property located at the 5791 Laurier Boulevard, that's in Terrebonne and the sale resulted in total gross proceeds of just over $3 million. We concluded the quarter with a total debt ratio of 56.8%. The weighted average term and average interest rate on the mortgage portfolio was 2.3 years and 4.4%, respectively. Finally, at the end of the quarter, we held $5.5 million in cash and $25 million was available under our credit facilities for total liquidity of almost $31 million. So this completes our presentation, and we will now open the call to questions. Operator, can we please have the first question on the line?
Operator: [Operator Instructions] First, we will hear from Matt Kornack at National Bank Financial.
Matt Kornack: Just wanted to clarify on the lease cancellation income. That was in prior quarters, right, not in Q3? Or am I reading that wrong? I just...
Michel Léonard: There are 2 lease -- Matt, there are 2 lease cancellations in 2025. One that was at the beginning of the year, where it's a tenant located in a suburban office property that basically, let's say, I forget the numbers, but let's say, they leased 30,000 square feet from us and they canceled 15,000 square feet. And we re-leased the 15,000 square feet immediately to another entity called Belden. So there was no downtime as far as that one is concerned. The second one is a notice that we received not too long ago, I forgot the date, but where a tenant had a right of basically canceling the lease after 7 years, and they exercised that right. So now we've put that property on the market and received the funds, and we're actively trying to lease the property. It's 60,000 square feet, and it's located on Autoroute 13 in Montreal.
Matt Kornack: Okay. But did you actually receive those funds in Q3? Or will you get them in Q4?
Michel Léonard: We received the funds in Q3.
Matt Kornack: Okay. So your NOI figure would include that number, the $1.1 million for this quarter.
Michel Léonard: Yes, that's correct. Yes.
Matt Kornack: Okay. Fair enough. And then just on the margin front for the quarter, it looked, again, a little bit better, maybe it's partially related, but it looks like you've been able to constrain costs. Is there anything to that? Or is that just a function of timing?
Marc-Andre Lefebvre: No, it's really -- we're managing our expenses, and we're going to be as efficient as possible.
Matt Kornack: Makes sense. And then I understand that you can't say much on this prospective lease, but congratulations on getting close to something and looking forward to hearing what it is.
Michel Léonard: Matt, depending on what you believe, touch wood or go light a candle in a church or I don't know. But I think that if we all pull together, we will be able to finalize the transaction.
Matt Kornack: Fair enough. We're hoping for you. And then just like if I remember correctly, it was a bit of a Frankenstein of an asset. Like are they going to take it as is? Or is there kind of a redevelopment component to the potential lease? Or how should we think?
Michel Léonard: It's almost an as is. It's a basic base building. It's -- I can't say -- this is an industrial building and the use that would be planned for it is a quasi-industrial tenant. So it's not a pure industrial type of occupancy. So there are improvements that they are going to have to invest in, in order to -- I don't want to use the word transform, but let's use the word transform the building into the use that they want to give to it. But as Stephanie mentioned, it's a AAA tenant. The rates that were -- that we received from the departing or the tenant in bankruptcy was less than $8, and we're talking about more than $10, $12 that we basically gave guidance when we -- on the last call.
Matt Kornack: Okay. So we'll wait for that one, but that would be great.
Michel Léonard: Please do.
Matt Kornack: Yes, maybe just lastly on the Kraft, and I appreciate that commentary. It sounds like 1-day difference impacted your occupancy, but all things else it would have been the same. But can you give a sense as to where the rent would have been relative to the expiry there?
Michel Léonard: The tenant was paying us, I believe, $775 and Kraft is...
Stephanie Leonard: We're in double digits. I don't have it...
Michel Léonard: We're going to get you the number. So it went from $7.75 or $8 to it's a good jump. I think it's $4.
Stephanie Leonard: Yes. We're at market rents for sure with Kraft in that. So we'll get you the -- we'll e-mail you the details. We're at -- sorry, Charles just pulled it up here. We're at $13.50 with Kraft, net.
Matt Kornack: Okay. No, I appreciate that. And then maybe sorry, last one just came to my mind. On straight-line rent, it was up by a couple of hundred thousand this quarter. Is that reflective of kind of some of the gap between in-place and committed occupancy? Or how should -- anything onetime in nature in there that we should think about? Or should we use that as a run rate, I guess, for 2026?
Michel Léonard: Straight-line rent.
Marc-Andre Lefebvre: It was largely -- basically, the $1.2 million that we recorded in Q1 is kind of creating a full -- how could I say it, an abnormal increase in straight line. So you should bring it back to what we have right now in Q3, which is more our normalized run rate for straight-line amortization.
Operator: [Operator Instructions] Next, we will hear from Tal Woolley at CIBC World Markets.
Tal Woolley: Just again on the industrial side. So if you are able to close this lease, I'm just trying to -- because if I remember correctly, Big Rig has already been released. This would sort of take care of the last of the sort of large vacancies that you've had to deal with over the last like 18 months, right, if this Laval lease gets signed.
Stephanie Leonard: Yes.
Tal Woolley: Perfect. And then I guess the other place I just wanted to chat a little bit about was on the office side. It's obviously been pretty topical in the public markets over the last couple of months. And you've seen sort of a steady performance. I'm just wondering if you can talk a little bit to lease demand right now in the office space in your portfolio.
Stephanie Leonard: So for our portfolio right now, what we're noticing is that with companies, and I know we kind of sound like broken records at this point, but with companies giving their back-to-work mandates, we're seeing a sustained interest within our portfolio. I think our -- the strategic positioning of our suburban office assets creates -- we have these different nodes that we could go fill for different companies that don't necessarily want to go to the downtown core, let's say, downtown Montreal. And for right now, one of the biggest pockets of interest is Quebec City. We're seeing a lot of leasing velocity right now within our office portfolio there. Laval is another segment that really works well for us as well. So I think -- I think within the next couple -- I think probably towards Q1 next year, we're going to see more demand within the office segment as companies start to unveil what their new plans are. I know there are some companies that still need to give their guidelines to their employees about their work from home versus work from office mandate. But as we're seeing right now is the pendulum is shifting back to pre-COVID times in terms of workforce presence at the office. So it should be positive for our portfolio. We see it right now, and I think the momentum should sustain into Q1 2026.
Tal Woolley: And in terms of just the leasing rent -- or the -- sorry, you're asking rents and incentive packages, has there been much change there at all over the last year or so?
Stephanie Leonard: No, not much change. I think the biggest change or comment I could give it really depends on the client, and it depends on the industry they're operating in, and it depends what the new -- what the new mandate is, right, in terms of coming back to the office. We're seeing it with the federal government right now that they have a brand-new plan that they're unveiling within their portfolios of their office space. So the federal government is investing more within their spaces right now. So I think there might be a little bit more investment, which is not a bad thing for our assets, not a bad thing for the workforce either. So -- but right now, it's still pretty -- it's standard for the past year, still the same rates and incentives.
Tal Woolley: Have you heard anything just from -- you ramp the governments, like obviously, the budgets will be coming out this week. But there is some question, I think, around what kind of spending cuts there might be. Are you getting any sense that like that the usage rate for the governments, whether it's federal, provincial are going to come under some pressure as we see.
Michel Léonard: I think it's a little bit early to call because they haven't identified anything, any specific direction. The only -- what we hear from the market is that they're vacating downtown Ottawa and favoring suburban Ottawa. That's the only direction that we've heard from the market. And as far as from the horse's mouth, absolutely nothing.
Tal Woolley: Perfect. Okay. And then I guess just lastly, too, on rates have been reasonably volatile over the last little bit. I'm just wondering if you can talk about where you're finding borrowing costs for the various asset classes you're involved in, so office, industrial, retail, any material difference in the borrowing rates you're seeing?
Marc-Andre Lefebvre: Not out of the usual. I mean, right now, year-to-date, we refinanced 6 properties for about $55 million. And in terms of spread, it was flat. Until year-end, we have another 6 properties for, again, almost close to $50 million. And our estimate -- we're estimating a spread of plus 40 basis points.
Operator: And at this time, there are no further questions. Please go ahead, Mr. Leonard.
Michel Léonard: Thank you very much for your attendance this morning. We didn't talk about it, but in the previous calls, we talked about the office assets that were on the market. So we have a building in that we expect to close before the end of the year. And there are 3 buildings -- 3 other buildings, office buildings that are on the market. We do have traction, but it's slow coming as far as the offers are concerned. I'd like to point out our leasing efforts that are extremely strong. We almost turned so far this year, 10% of the total portfolio of 6 million square feet in renewals or new leases. And I'd like to also point out that we were absolutely quick to re-lease the vacant spaces caused by nonrenewals of certain tenants. This quarter, 14.5% increase in the average net -- the average rent renewal rate, which is stellar, with a same-property NOI at plus 4.2%. We're financially strong. And when we're showing our AFFO payout ratio at 74.3%, I think that we're at the right spot, and we had always targeted to be below 80%. So thank you very much for joining us this morning. It was a very good quarter for BTB, and we'll see you when we're going to publish our results for Q4 2025. Thank you again for attending this morning.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude today's conference call. Once again, thank you for attending, and you may now disconnect your lines. Have a good day.